Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to Oi S.A.'s conference call to discuss the 2012 fourth quarter and full year results. Participating on this call today are Alex Zornig, CFO; James Meaney, COO; Andre Borges, Regulatory and Strategy Director; Tarso Rebello, Controller; Bayard Gontijo, Treasurer and IR Director and their teams. This event is also being broadcast simultaneously on the Internet via webcast, which can be accessed on the company's IR website, www.oi.com.br/ir together with the respective presentation. [Operator Instructions] This conference call contains forward-looking statements that are subject to known and unknown risks and uncertainties that could cause the company's actual results to differ materially from those in forward-looking statements. Such statements speak only as of the date they are made, and the company is under no obligation to update them in light of new information or future developments. I will now turn the conference over to Mr. Alex Zornig, CFO. Please, Mr. Zornig. You may now proceed.
Alex Waldemar Zornig: Good morning, and thank you, all, for participating in the conference call. I will review today our results for the quarter and our key achievements for the year and discuss our guidance for 2013. Then, James and I will be happy to respond to your questions. First, I will briefly go over the key elements of Oi's strategy, which we announced in April 2012. First slide shows we have split our business into 3 major segments: Residential, where our objective is to leverage the largest residential customer base in Brazil by providing bundle offerings of fixed line, broadband Internet, Pay TV and in some cases, mobile; Personal Mobility, where we focus on building the high-value customer base, and increasing the profitability of our prepaid base; and Business and Corporate, where our strategy is to increase our market share, especially in São Paulo. We recognize that for us to grow in each of these segments, it's important to deliver the best products and service based on continuous innovation and on our ability to offer high-value conversion service. To get there, we have, and will, continue to invest in data transmission speed, network quality and coverage, as well as in the sales channels and in the people who serve our customers. Within that context, on Slide 2, I will start reviewing our performance in 2012 as compared to the plans that we have communicated to the investments community. We are very pleased that our results for the fourth quarter and full year of 2012 strongly support the viability of our strategy and attest to our ability to deliver in all of the segments in which we operate. We ended the year with 19.1 million Residential RGUs, including 12.5 million fixed lines, 5.1 million broadband access lines, 757,000 Pay TV customers and 727,000 public. In the Personal Mobility segment, we ended up 2012 with 46.3 million RGUs, of which, 39.8 million were prepaid and 6.5 million were postpaid. Regarding Business/Corporate segment, we ended 2012 with 9 million RGUs. Thus, we end the year with 74.3 million RGUs mainly in line with our guidance. With regard to our financial results, on Slide 3, total net revenue of 2012 amounted to BRL 28.1 billion, of which, BRL 27.5 billion were net service revenue. Our 2012 EBITDA was BRL 8.8 billion with EBITDA margin of 31%, reflecting the improvements we achieved in the year. We invest in 2012 a total CapEx of BRL 6.6 billion, which supports our commitment to expand network capillarity and capacity and also to improve our service quality. In terms of debt, we closed the year with net debt of approximately BRL 25 billion. Two of these financial results of 2012 are in line with the guidance that we released in April 2012. Now into Slide 4, I highlight an important milestone for the company, which demonstrates the success of our focus on bundled service. Total net revenue of the Residential segment present a year-over-year increase. This is a result of the annual expansion of the base, which resumed growing in the third quarter of 2012. On the fifth slide, I will review the initiatives and results achieved in the quarter and in the year. Lower churn combined with leverage sales led to the reversal of historical falloff in Residential RGUs. In 2012, we added over 500,000 Residential RGUs after having lost nearly 600,000 in 2011. One of the key actions we implement to reduce churn was to increase our customer loyalty base. Our loyalty broadband base, for example, went up 30% to 60% by the end of the year. This increase is due to both, the addition of new customers into their loyalty programs and the migration of existing customers to this type of plan. To accelerate the acquisition of new customers, we invested in advertising campaigns featuring celebrities and expand our sales channels. It's important to mention that the numbers of company-owned stores nearly tripled in the year and the number of door-to-door salespeople increased by more than 60% in 2012. Also in order to reduce churn and leverage sales, we focus on our offering bundled products, adding value to fixed line through broadband and Pay TV. We position our portfolio of offering. That initiative was the upgrade in broadband speeds, which has also contributed a lot to sales and customer loyalty in the Residential segment. Slide 6 shows that the strategy of bundling products, repositioning the portfolio and focus on the unlimited co-package has made Fixed Line more effective for our new customers. And at the same time, it's promoted the retention of existing customers. As a result, the churn in the Fixed Line was reduced by almost 50%. Broadband new offers customer loyalty, investments network and channel expansions have resulted in annual growth of more than 15%. At the end of 2012, 31% of broadband customers had speeds of 5 meg or more. This is a result of our investments in expanding the availability of higher speeds broadband for Residential clients and in strengthening our upgrade in base protection issues. In December, we introduced the Fiber-to-the-Home product, which offers ultrahigh speed Internet and IPTV. IPTV is a differential Pay TV solution that brings several innovative features to the Brazilian market. Also our DTH Pay TV was repositioning in 2012 in new channels, pay-per-view package and HD content, resulting in a residential growth of more than 100% in the base. With these accomplishments the last quarter of the year, including market share of that has reached 18%. After the success on market share gains, Oi has become the third-largest economic group in the Pay TV market, with a 5% of market share by the end of 2012 versus almost 3% in December 2011. These results illustrate the success of our strategy, offering HD channels starting with entry package at a competitive rates, combined with broadband, fixed line and mobile product. As a result, since the third quarter of 2012, we have reported year-over-year growth in Residential RGUs, and we ended the year with the growth of 3%. Slide 7 shows that as a result of the conversion strategy as mentioned before, the share of homes with more than one Oi product increased by almost 7% in the year. This has been directly reflected in Residential ARPU, which will grew nearly 7% as well in 2012. As a result, as I previously mentioned, we achieved an important milestone in the fourth quarter. In the first time net revenue from the Residential segment recorded year-over-year growth. Moving onto Slide 8, as part of our strategy of focusing on high-value customers in the Personal Mobility segment, we carried out several initiatives in 2012 with the goal of reducing churn and increasing sales. As a result, we added nearly 1.2 million new postpaid customers in 2012 more than 3x the number added in 2011. In the fourth quarter, net additions amount to 387,000 postpaid customers, the best result since 2010. Among the initiatives to reduce churn are, number 1, promoting the sales of loyalty plans, which have multi-discount if the customer stays with the plan for 12 months. Today, nearly 100% of the postpaid plan sold are loyalty plans. The first quarter of 2012, these plans accounted for only 20% of the sales. Number 2, proactive approach in determining the best plans for the customers based on the analysis of the consumer profile. In order to increase sales, we also reconfigure our offering and expand our sales channel and 3G coverage. Simplified plan for the postpaid segment that we introduced in early 2012 remain unchanged, allowing a better communication by the sales force and a better understanding of the offers by the customer. As I mentioned earlier, we have increased the number of company-owned stores. In the end of 2012, we have 187 stores. Opening new stores and spending this channel were key to delivering benchmark customers care to high-value clients, sustaining our returns to the handset market and serving as a model for our franchise. Another important element of our strategy for the high-value segment was the expansion of 3G coverage. We closed 2012 with 700 cities covered, corresponding to 7/10 of urban Brazilian population. All these initiatives have led to positive trends in our postpaid mix. As presented on Slide 9, the fourth quarter of 2012, Oi was the only carrier to post a significant market share gain in the postpaid market, recording growth of 3 percentage points. Slide 10 shows our actions to increase the profitability of our prepaid base such, as the simplified offer introduced in 2012 that gives the same value or twice the recharge amount as a daily bonus depending on the region. In order to promote the use of value added and data service, we can choose to offer SMS message as a bonus for prepaid users, increase the sales of SMS package and introduce a prepaid mobile Internet plan to be used in tablets and computers. At the same time, we spend sales channels and focus on prepaid plans like large retail chains and point-of-sales that sells recharge and sim cards. As a result of these initiatives, the gross recharge volume continues to consistently growing in line with the customer base, evidence of our successful strategy with focus on profitability. Slide 11 shows the main results of the Business and Corporate segment. We end the year with a nearly 9 million RGUs, 2% sequential increase and a 14% year-over-year increase as a result of the positioning we achieve in this segment. Regarding the Business segments, key highlights of the fourth quarter include the continued growth in the fixed base, reduced churn and the profitability of mobile voice and the increased mobile Internet penetration. In the Fixed segment, the number of voice data and broadband clients increased in the fourth quarter and in the year. It's important to mention that we have developed partnership with large hardware supply and technology integrators, which embraces our presence with synergic high-value solutions. The Corporate segment, we continue to execute on our strategy of helping clients leverage their revenues and rationalize their cost through the innovative use of technology. Postpaid VPN network, IP Internet access and digital trunk products stood out in terms of RGU growth in the fourth quarter 2012. In addition, we signed important agreements to provide IT and telecommunication service too, for example, Arena Castelao, one of the FIFA 2014 stadiums, and we also began implementing together with Pernambuco State government what we call PE Connected project, a world-class benchmark of service conversions on a single platform. Slide 12 shows that our net revenue amounts BRL 7.4 billion in the fourth quarter of 2012, an increase of 5% compared to the previous quarter. We succeed in posting year-over-year revenue growth for the second consecutive quarter as you can see in the -- on the lower left chart. We closed 2012 in net revenue of more than BRL 28 billion, reporting 1% year-over-year growth, something we had not seen for several years. Revenue expansion from the Personal Mobility segment, coupled with reduced attrition in the Residential segment is driving these improvements. Slide 13 presents the efficiency of our cost and expense management, ensuring that our expense increase at the rate lower than inflation. Costs as a percent of revenue were 69% in 2012, which shows that we have maintained our operating margins while growing. It's important to mention that cost and expense were positively impacted in the amount of BRL 200 million from one of events in the fourth quarter, including the result of the sale of a subsidiary, which are approximately 1,200 mobile nonreversible towers. As a result of this transaction, more than BRL 500 million was already received by the company. As operation is in line with Oi's strategy of monetizing nonstrategic assets, generate funds to be used in the company's core business. Those are in line with social demands for more rational and shared infrastructure. Shared telecom towers present enormous potential and can be attested by the price tag of the transaction, the highest price per tower ever paid in Brazil. Slide 14 shows that our EBITDA continues to increase in 2012 and in the fourth quarter, reached to BRL 2.5 billion with a 33% margin. Consistent growth in revenue and efficient cost and expense management had a positive impact in our EBITDA, which reached BRL 8.8 billion for the year. Slide 15 shows our fourth quarter net income of BRL 837 million. It's worth noting that since the conclusion of our corporate restructuring, our net income has been impacted by the fair value from the acquisition of Brasil Telecom. we have filed our request with the CVM in late August 2012 to reverse this record based on the advice of our outside accountants to consider that reversing the fair value is the most appropriate accounting method for reporting our net income. If the request of CVM is approved, our net income for the year will be BRL 1.8 billion. In our opinion, this amount most accurately reflects net income generated by the company's operations in the period. We highlight that amortization of fair value has no tax effect. On Slide 16, our consolidated gross debt reached nearly BRL 33 billion at the end of 2012. At the year end, net debt reached BRL 25 billion resulting in a net debt to EBITDA ratio of 2.85x, which is below the self-imposed and certain guidelines of our dividend policy. Therefore, management is proposing the general meeting, the payment of additional dividend of BRL 1 billion on top of the amounts already paid in August 2012. At the end of fourth quarter, the cost of our debt remained unchanged and the average maturity was approximately 5 years, almost 6% of our debt to be mature after 2017. Even though 40% of the total debt is contracting for currency, less than 2% of our debt is exposed to exchange variations. On Slide 17, CapEx we made during the year. In the quarter, we invested a little more than BRL 2 billion in line with the previous quarter. 2012, in line with our strategy, we invested BRL 6.6 billion, expand our 2G and 3G networks to adapt our fixed data network and to expand the quality and coverage of Oi TV. We also invested in the optimization of IT systems in the 4G license and the expansion of company-owned stores. Now to Slide 18, which provides our guidance for 2013. We expect to build up on the progress we made in 2012 by effectively executing our existing strategy. Net service revenue for 2013 are expected to range from BRL 28 billion to BRL 29 billion, which at the midpoint represents almost 4% year-over-year growth. EBITDA should be between BRL 9 billion and BRL 9.8 million, up 6.8% at midpoint, reflecting continued operating levels. RGUs for 2013 are expected to range for BRL 75 million to BRL 76.5 million, which at the midpoint represents 2% year-over-year growth. CapEx will be BRL 6 billion. As a result, we expect our net debt to EBITDA ratio for 2013 to be at or below 3x. With that, we conclude our presentation. James and I will answer your questions now. I remind you that this conference call aims at discussing our 2012 operating and financial results, as well as our guidance for 2013. So please limit your questions to topics related to these subjects. We'd like now to open to call to the questions.
Operator: [Operator Instructions] Our first question is from Andrew Campbell, Credit Suisse.
Andrew T. Campbell - Crédit Suisse AG, Research Division: Just a question about this guidance, because with the level of guidance, of CapEx that you're signaling for this year and with the company already getting fairly close to the self-imposed limit of 3x, where would there be flexibility in the event that the company were to go over the 3x? I mean, would the priority be to reduce the CapEx or would there be flexibility on the dividend? How would you see the tradeoff in terms of that kind of situation?
Alex Waldemar Zornig: It's Alex. We are confident that we are going to meet the ratio of 3x. And in case we don't, we may see that we have problems to meet that self-imposed ratio, we always have the non-core assets, as I mentioned before, to cover that. So I think the non-core asset sales, it's, I would say, our hedge in brackets, of course for us, to fund whatever is necessary in order to meet CapEx and our dividends and our debt payments.
Operator: Our next question is from Sean Glickenhaus, HSBC.
Sean X. Glickenhaus - HSBC, Research Division: Two questions, please. One on fixed broadband, I was hoping you could talk a little bit about the competitive environment especially given launches at the end of Q3, early Q4 for one of your competitors offering high-speed broadband at a reasonable rate? Second, on the corporate side, given your strategy for market share, can we talk a little bit about 2013, given the slowdown in net adds across the board in Business/Corporate, does that mean you'll be more aggressive on pricing front as well as bundles?
Unknown Executive: First of all, in terms of the fixed broadband competitive landscape, we saw a pretty dramatic increase in the competitive networks from 2011 through 2012 to -- from approximately 37% of our landlines under competitive situation with other fixed line carriers of broadband, fixed broadband carriers. Through the fourth quarter, we were up to 50% in terms of our competitive situation. We've been able to do throughout these last 2 years is upgrade our customer base dramatically and able to reduce churn by over 20% in our broadband products. In spite of the fact that our competitive situation has, in theory, gotten worse, we were able to have a better quality product with higher speeds. And today, we were able to, if our customers asked for it, we are able to upgrade 80% of our customer base to a higher velocity. So we really feel like we are in a very, very good position to defend our base. We were able to reduce churn not only because we increased the speed but also we rolled out a much more competitive television product together with our fixed line unlimited services. So we really think we have a much more competitive residential bundle to compete not only in the Fixed Line business but for the Residential customer as a whole. You see that in our results, we were able to turn around a nearly 600,000 RGU loss in 2011 for a 500,000 RGU gain on the Residential side. So, I mean, that's over 1 million RGU turnaround year-on-year, and I think that's a trend that we're very proud of. And I think, we don't see any reason from a competitive side for us not to continue with that success. And I know when you guys are doing your modeling, you factor in 1 year, you have a 500,000 or 600,000 RGU loss and now you have a gain. So now you have 12 months of new customers that in 2011, you had 12 months of customers that you're losing. So we feel there's a tremendous opportunity also for new customers. We only have 1/3 of our Fixed Line base with broadband, and we think we have a tremendous opportunity to continue growing. That's the first -- I hope that responds to the first question but I'll go on to the Corporate response. We don't see a deterioration in our corporate demand. We were able to have a modest growth this year when you look at our [indiscernible] and our corporate customers in spite of the fact that we still have a tremendous amount of our revenue in -- on a fixed line side. We were able to complete that with new offerings on Cloud, IT, Managed Services, as Alex talked about, more value-added services that we're doing with the government of Pernambuco and we signed $1 billion contract to do an integrated package to help them do security and other data transmission services that they need. And as Alex said, we were able to provide the telecommunication infrastructure for one of FIFA's stadiums. And aside from that, we grew very, very significantly on the mobile side and the principal on the postpaid side as we had done -- as we had success on our residential side. So we don't see a lot of ARPU pricing pressure. We see a fair amount of growth and we've got a fair amount of CapEx dedicated to support that growth in the following year. We feel pretty confident that, that's going to be an area where we can continue growing. And as Alex said, obviously, selective opportunities in São Paulo where our market share is very low. Also, we can count on those gains as well.
Operator: The next question is [indiscernible] from Citi.
Unknown Analyst: First question is around the EBITDA guidance, the BRL 9 billion to BRL 9.8 billion, can I please confirm that no exceptionals are included in the fair value? Did you have to go down the road of [indiscernible] reduced or any other real estate sales to reduce our leverage that will come on [indiscernible] of the EBITDA numbers that you already outlined for 2013? And my second question is around, kind of ways to reduce net debt. You mentioned earlier real estate sales. If I'm not mistaken, there's quite significant part of that debt relates to court cases and other disputes. Can you perhaps talk a bit about any potential to reduce the amounts in both payout and whether that would be something that's feasible in 2013 or whether that is something that will take years before we see an improvement?
Alex Waldemar Zornig: Georges, if -- the first question regarding -- if the guidance of our EBITDA between BRL 9 million, BRL 9.8 billion includes no court, the answer is yes, okay? The second question, if I understood you is that if we have plans to reduce the net debt? That's what you ask?
Unknown Analyst: Yes, I think part of the net debt numbers involved relates to [indiscernible] of being locked in court cases and disputes with the authorities. So whether there's any...
Alex Waldemar Zornig: I got your point. Yes, we have a plan, and we are working with the Brazilian authorities in order to release wherever, as much as we can, on judicial deposits. Just to give an idea, the company has today approximately BRL 12 billion in deposits and there are efforts being made in order to reverse the deposits -- these efforts are made in 2 ways. One, settlements, so we invite the other part to settle whatever is the case and therefore, we have some, say, split between the money he receives and the cash we receive. And the closure of the case, last year, 2012, we released BRL 200 million already of deposits, so enter as a cash for us and for closing cases that for years pending, and there is a process also in order to try to further show to the Brazilian authorities that, and mainly in the judicial arena, that we can give other guarantees besides cash, like insurance, like banks guarantees and whatever. We have been successful in during 2012 throughout doing that, almost BRL 2 billion of insurance have been given during 2012. So that protects our cash very well. Of course, the process is slow since it takes analyzing case-by-case and also requires negotiations with other part, and the judge of this specific case needs to approve.
Unknown Analyst: Let me ask perhaps a follow-up on the first question. Given that exceptionals are included, can you perhaps give us an idea of what the underlying target you are looking at would be? Otherwise, all that means is that you are not able to reach non-billing, you're just going to sell [indiscernible] to get there. So is there a way for us to have an underlying number that we can compare with the 8.5, 8.6 that you reported last year?
Alex Waldemar Zornig: Unfortunately, Georges, I cannot release this number yet. But the answer is yes. There is some non-core there, but I cannot release the number yet. Okay?
Operator: Our next question is Michel Morin, Morgan Stanley.
Michel Morin - Morgan Stanley, Research Division: Alex, I just wanted to follow up on a question that we asked on the Portuguese call about the cash flow and specifically, the gain that you are showing for BRL 389 million on asset sale gain. You mentioned on the Portuguese call that there was an offsetting, a partially offsetting reversal to this. Could you elaborate as to what the amounts are and where we can we find this in the financial statements?
Alex Waldemar Zornig: Okay. It was not a gain. It was a revenue, it was the proceeds of the sale. If you go to our website in the ITR that we filed with the CVM, on Page 64, I think is Financial Note #6. On the other revenues and expenses, operating revenues and expenses, you will see a line called revenue proceeds from sale of assets, BRL 389 million. That includes the sale -- the proceeds of sale of towers and the fixed assets. As the fixed assets, we didn't get the green light yet from the ANATEL although the cash is already there -- here. We reversed BRL 167 million, which is in the line called Provisions and Reversals within the amount of BRL 400 million.
Michel Morin - Morgan Stanley, Research Division: Okay, yes. So the number was BRL 167 million that you reversed?
Alex Waldemar Zornig: So the net amount that we recognized as non-core during 2012 is BRL 200 million, which is the net.
Michel Morin - Morgan Stanley, Research Division: Okay. All right. And then on the cash flow statements and the DSP, you also have a -- right above the 389 on Page 7, you also have a loss for, I don't know if it's a write-down of fixed assets, it's BRL 339 million on a consolidated basis?
Alex Waldemar Zornig: I cannot answer that because I don't have the details. What we can do, Michel, let me ask Bayard to see and he answer to you.
Michel Morin - Morgan Stanley, Research Division: Okay. And then if I may, on the residential side, am I correct in noticing that your deductions have been increasing? The deductions between gross and net revenue, and they've been increasing rapidly. Because what we're doing, Alex, is you just reported ARPU of BRL 69.2 but if we take the actual revenue and divide that by the average RGUs, we get a number which is much lower, of 47.3, so I'm assuming that the difference between those 2 numbers is gross versus net revenue, your ARPU is on the gross...
Alex Waldemar Zornig: No, it's not, Michel. The ARPU, you need to divide the total revenue by quantity of residents, not by RGUs.
Michel Morin - Morgan Stanley, Research Division: Not by RGUs, okay.
Alex Waldemar Zornig: It's in the -- within the press release you see there. There is a line that we explain how we calculate the ARPU.
Michel Morin - Morgan Stanley, Research Division: So there's no change in the rate of the deductions?
Alex Waldemar Zornig: No.
Operator: [Operator Instructions] We have a follow-up question, Michel Morin, Morgan Stanley.
Michel Morin - Morgan Stanley, Research Division: So I'll keep on going if there's no other questions. On working capital, I noticed that your accounts receivable has been increasing faster than revenues, I was wondering if there's anything specific there that we should be thinking about as we model the coming year? And really, the same thing kind of on the liability side, both your accounts payable and I would say the majority of your current liabilities have also been growing rapidly. Is there anything unusual that hit the fourth quarter?
Alex Waldemar Zornig: Yes. No, what happened is, as we are growing the postpaid base higher than the prepaid, Michel, of course that we -- the postpaid -- the prepaid you have every month, the cash is there, okay? Depending how the percentage of recharge we have. On the postpaid, he has 30, 45 days to pay next month. So that's one reason. The second reason is the television. Television also as we have almost 800,000 new customers on television. Television, and also you don't pay right on, you pay 1 month later. So that's why the average accounts receivable has this increase from the September to December, I think you mentioned. Another, there is another reason is that in the end of the year, Corporate normally trying to, I would say, postpone the payments to not only twice but to any payments in order to have a better cash flow, I would say, and therefore, we -- December, always on the corporate side, is a month that our accounts receivable increase, okay? But in terms of bad debt provision, we didn't see any, I mean, significant change, negative change relating to, compared to last year.
Operator: There seems to be no further questions. I would like to turn the floor over to Mr. Alex Zornig for his final remarks.
Alex Waldemar Zornig: Thank you for participating in our conference call. We ended the year as planned. And we are really pleased to tell you that. We are on the right path, and we thank you for your support. We are working hard to add value to our shareholders. Our IR team is always at your disposal to answer any question you may have. Do not hesitate to contact us. Have a nice day.
Operator: This concludes Oi S.A.'s conference call. You may now disconnect, and have a good day. Thank you.